William Winters: Good morning. Good afternoon, those of you outside the room or in the further east. Thanks for joining us. First thing on a rainy morning here in London, talk about our 2019 full year results. Sort of the usual format for me and Andy. I'll say a few things upfront. Andy will go through a lot of the detail, and I'll come back and touch on some of the progress that we made against the strategic objectives that we refreshed a year ago. Let me just start quickly upfront. We feel very good about the progress that we've made against each of the strategic priorities that we set out last year, really every one, and in every region and in every line of business. So we're very happy with the progress that we're making. The network and affluent activities, we'll dig in, in a bit more detail on these later, but good growth on all fronts, continue to do strong returns, really evidencing the logic that we've set out in the first place, which is that we think we've got the right focus in terms of our client segments, these areas where we can differentiate ourselves, and we've continued to do that. The push in digitization is going at full speed. We've completed the rollout of our digital banks across Africa. We're beginning to roll those out in that model over, building our business in Hong Kong and many of the markets. We'll talk about that in a little bit of detail. The 4 markets that we focused on improving performance, also good progress in each one for different reasons. We'll dig in. Productivity has been really good, strong improvement with basically flat expenses year-on-year against the income growth that we've experienced. This is reflecting both our management of expenses, but also the focus on real underlying productivity. And we completed the buyback that we announced a year ago. As you will have seen, we have announced a second tranche to commence immediately. So indicating that our determination to continue to manage our capital base as aggressively as we can and as is appropriate. And we'll talk a little bit about sustainability. You just saw this video, but this has been a tremendous area of focus for us, both because it's the right thing to do, but also because it's an enormous profit opportunity for Standard Chartered Bank for us to help our clients transition to a low-carbon economy. I don't think there's a bank in the world that's better placed to provide that assistance than we are. So the financial numbers, we'll get into in a lot of detail. Obviously, improvement in ROE. And a little bit of a comment on the beginning part of 2020. We're quite encouraged by the progress in the early part of the year, really up through to and including today. But we know that the most substantial portion of the impact from the virus has not yet, has not yet settled upon. So while we continue to see the evidence of the strategy that's playing out, I know that it's going to be more challenging for us to hit our RoTE target in 2021 as we originally set out, and we expect that income growth in 2020 will be a little bit slow. But we'll give some context for that as well. A couple of things that I don't always talk about in the beginning of our annual results presentation, but which is to me and to the rest of our management team and Board, just critically important. It's a big chunk of my time and focusing on the reskilling and development of our workforce. The thing that's going to allow us to generate the kind of growth that's going to get us consistently about cost of capital, is going to be the investments that we're making in our people and the reskilling and retooling of our workforce, relative to what we needed in prior periods. So this is a tremendous area of focus for us and one where I think we're taking a leading position in a number of regards. And I feel very, very good about the progress that we're making here, both the people we can attract, but importantly, also what we can do with our colleagues in-house. And on Page 4, again, is the focus on climate. We came out with a very important document a couple of months ago, outlining the private sector financing requirement to meet the sustainable development goals over the next 5 to 10 years. Talking $35 trillion is what's going to be needed, something like $2.5 trillion per year financing to hit the climate change targets. We know that our markets are likely to be most affected by increasing global temperatures, should that happen.  We also know that our clients in those markets have the most need to transition their own activities to a lower carbon future and a lower carbon footprint. Standard Chartered, as it happens, is one of the leading banks in the world in infrastructure financing and renewable financing, in particular, and we intend to push this very, very hard. We see this as one of the growth opportunities that is really unique to our time and then particularly relevant for Standard Chartered. In addition, it's the right thing to do. So with that, I will hand over to Andy, go through all the numbers. I'll just make a couple of comments later on some detail on our strategic priorities.
Andrew Halford: Thank you very much, Bill. Good morning, good afternoon. So let me just start with the normal overview slide on the numbers and then can drill into things a little bit more detail. I think the sort of headline with regards last year is actually having been pretty resilient to the business, particular in the context of some of the challenges in our regions with the U.S.-China tension, the unrest in Hong Kong, et cetera. So just going through the key numbers. The operating income, up by 2% on a reported basis. That is 4% on a constant currency basis, and we had a bigger than usual, which I'll come on to it, DVA charge in the period. If we had not have that, we would have been at the 5% level. So just slightly at or below the guided medium-term income range. The fourth quarter number, particularly, which I'll come on to [indiscernible] this number is 1% again, if one adjusts for the DVA and currency, that was actually 4%, so not dissimilar to the momentum in the prior quarters. Operating expenses were well controlled. Those were essentially flat period-on-period. Credit impairment was a little bit higher, but off a very low base in the previous year. Put all of that together and the underlying operating profit at $4.2 billion is an increase of 8% reported or 10% on a constant currency basis. Further down, risk-weighted assets were up 2%. So that was very much in line with the rate of income growth. The underlying earnings per share, up 23%, combination of the increased profit, a slightly lower tax charge and reduced number of shares in issue, following the share buyback of last year, and the proposed dividend per share at $0.27, being a 29% increase year-on-year. That is on a consistent trend with our endeavor to double the dividend by 2021. CET1 ratio at 13.8%, at the higher end of our 13% to 14% funds range, and hence, the announcement today, as you will have seen, and as Bill has mentioned, of another $0.5 billion share buyback, which with the share price where it is, we can't wait to get onward. The RoTE up to 6.4%, so 1.3 percentage points of gain on the RoTE during the year.  Let me just go through a number of those just in a little bit more detail. So first of all, the RoTE, 2018, 5.1%; 2019, 6.4%. So the 1.3 percentage point improvement. Major components there, slightly lower on net interest income, with volume growth not quite offsetting margin decline. Fees, on the other hand, very strong. Financial markets, in particular, had a very, very strong year, up 12% on income on a reported basis. Wealth management also, a good year. Expenses impairment, not a huge impact. And then the tax and UK bank levy, probably more tax. So we were just below the 30% level on the tax rate, whereas last year or the year before, we were slightly above 30%. That's due to a mix of country profits, a liability of expenses and prior year settlements. We'd expect going forward, the tax rate to be, give or take, the 30% level. And then finally, equity appearing for the first time on a full year chart, with the reduction of the share count from the buyback has also contributed to getting to the 6.4% number. And put this in context, we were 0.5% negative on RoTE in the 15. So we have actually moved 7 percentage points up over the last 4 years, more clearly to do, but we have moved pretty significantly up that range. So let's move on to income. 2 slides here. First one, full year and the one that follows on the fourth quarter. So we've taken the 2018 published and adjusted it to the FX rates that we experienced in 2019 and also for the DVA that we experienced in 2019. So you can see that DVA has had an impact, 177 in the year. So exing out DVA, 14.5 a year ago and 15.3 in 2019. That's, as you can see from the circle at the top, is a 5% increase. Little green percentages there on the chart below show the ex-DVA, constant currency growth rates in those major areas within our business. So you can see that financial markets, particularly powered as a ahead, so 22% growth on that basis. And then, pretty even performance across many other areas of the business, transaction banking, retail products, wealth management, et cetera, all grew 5%, 6% during the period. And the one that held us back was on treasury with the higher interest rates that were paid to the businesses for their liabilities. So $15.3 billion, 5% up constant currency, ex-DVA. This chart is then the equivalent for the fourth quarter, so published at $3.6 million a year ago. I think what is noteworthy here is actually of our full year DVA of $177 million, a lot of it was in the fourth quarter. So 118 of it was in the fourth quarter alone, and hence, depressed the reported income growth for the quarter. If you ex that out, then the underlying was $3.45 billion a year ago. And that increased to $3.6 billion or thereabouts for 2019. Again, a similar pattern there. I won't go through all the detail, but you can see, in fact, if anything, financial market is even stronger at 33% growth, but wealth management also very strong during the fourth quarter. Now let's change tack a little bit more detail on Slide 10 on the client segments. I think the key point to make that spans this chart is we had income improvement, profit improvement and RoTE improvement in all 4 client segments during the year. So just going through and pulling out 1 or 2 things from this corporate and institutional bank, which is obviously the biggest single client segment by some way in the business, very strong year, 5% reported income growth, 7% on a constant currency. Actually, 9% on constant currency pre-DVA. That was all delivered with reduced expenses. So jaws opened up considerably and the consequence of that is a RoTE at 8.5%, which is about 1 percentage point higher than a year ago. Retail banking, also a strong performance. So it is our highest RoTE business. It remains that at 12.6%, which is also about a percentage point of improvement, 3% up on income, reported 5% on a constant currency basis. In some senses, Commercial Bank [indiscernible] Paris, the star of the show here, with a doubling of operating profit in the period. And I think if you recall the business back 3 or 4 years ago, this has improved, the most noticeably. The RoTE now at 7.3%, starting to get fairly close to the corporate and institutional bank RoTE. So a really good performance there, doubling the royalty during the period. And then Private Bank is smaller than the overall scheme of things. But again, I think very positive progress here, 12% increase in income, third consecutive year that we've seen the growth in income. A good profit printed for the period. Assets under management growing by 14%. Net new money, up by over $2.5 billion. So again, good performance in that part of the business. Slide 11 is then addressing the same topic, but now looking at this from a geographic lens. So Greater China and North Asia, our biggest region, as most of us will be aware, this has been a more difficult period. It has had the majority of the macro challenges that we have seen across the group. But nonetheless, we have had a flat top line, slightly up, when you view it on a constant currency basis. We have tightly controlled expenses and therefore, seen the profits growing by 3% in a difficult period. And overall, I think the performance there has been extremely strong. Hong Kong has been robust. China has been strong. And overall, we come into this year, I think, in pretty good shape in the overall circumstances. The ASEAN & Southern Asia region has also had a very strong period. So this is now contributing $1 billion of operating profit, 6% growth in income. It has also managed to do that whilst reducing expenses. So it's opened up jaws by 7 percentage points. Africa & Middle East, numbers there a little bit impacted by currency. So 2% down on a reported basis on income. Actually, 4% up if one puts it on a constant currency basis. And particular focus upon credit impairment, has resulted in a 29% increase in overall profitability for that region. And then Europe & Americas was the income print of 3%. This is the region that's taking the majority of the DVA hit. If it has not been for that, it would have been printing a 10% increase in income. So I think good, good performance in our sort of central hub there. Central & Other, then these are the items that are not included in any of the numbers that you have seen before. They're largely the management of the balance sheet and the center. I think, sort of 2 takeaways. On the bottom left, you can see the cut by client segment, where we have got the level of income and profit down about $0.3 billion. That is the impact of higher interest rates being paid to the businesses for the liabilities that are managed in the center. That will unwind a bit over time as interest rates come off. On the right-hand side, on the region, you can see the numbers actually have stayed fairly similar so a small loss and slightly reduced on the previous year, with the impact of higher debt costs being more than covered by hedge ineffectiveness reversals and internal capital charges.  So moving on to expenses. As I said earlier, these are, I think, under very good control now. So $10.1 billion, constant on the previous year at $10.1 billion. That is an opening up on the jaws. It is, I think, evidence of several years now of spend on IT and process improvement. The productivity, if one measures this in terms of income per full-time employee, is actually up 5 percentage points on a year ago, which is one of the biggest improvements we've had in a single year.  Clearly, this is going to be a very big area of focus, particularly in a softer income period, but I think the track record on the cost is now well established. On the bottom left, you can see the cash investments we're making. We are continuing to absolutely focus on investing in the future of the business. So $1.6 billion of spend there, similar to the previous year. The highlight in green showing the proportion of that, that we're spending on strategic projects is slightly increasing. So this is things like the virtual bank in Hong Kong, which, hopefully, we will be launching before too long. A lot of investment in straight-through processing in our corporate businesses, real-time onboarding in several of the Asian markets, et cetera. So we are doing whatever we can to be able to carve enough out of the core cost base to be able to keep, and in some respect, increase the momentum on the spend for the future. This is, may be on Slide 14, a slightly different way to visualize this. So this is the cost income ratio over the last 3 years. As many of us will know, we have got pretty stuck at around the 70% point over the last several years. That has now started to improve. So 2017 year, it was basically flat. We then improved things by 2 percentage points, and then by 3 percentage points over the last year in total. So that, I think, evidence that we have got a good focus upon the costs. So moving then on different topic of credit and credit quality. As I said earlier on, the top chart here has got the charge to the income statement at just over $900 million. So whilst it is up slightly on a year ago, that is a low point of comparison. 2019 was still a 27 basis points of gross book charge. I think within those numbers for you, the thing that is interesting is the charge for the Stage 3 loans.  So the nonperforming reduced quite a lot during the period. And what we saw was an increase in the Stage 1 and 2 charges, about $275 million. Half of that was to do with deteriorating macroeconomic variables, and about half was specific to Hong Kong. On the bottom left, you can see the overall level of credit on things that we are focused on. So the Stage 3, the cat is nonperforming, the category 12 [indiscernible], et cetera. And I think you take care, there is that this is actually remaining at a pretty constant level.  In fact, in the $9.3 billion for 2019, there's about $0.3 billion, which is to do with sovereign downgrades in 1 or 2 smaller countries. So actually, it's that. We would have actually seen the overall numbers there slightly improving. So clearly very much alert to things relating to the coronavirus now. But certainly, as we exit last year, we had the overall book in a good state of health. Turning then to the asset liabilities and the NIM. Top left chart is the overall assets. So-called dotted there, 5% is the increase in customer [indiscernible]. So that is continuing with a good momentum. On the bottom left is the average liabilities. So in the middle is liabilities on which we're not paying interest, those up $7 billion in the year, and on the very bottom in the darker color is liabilities that are interest-bearing. So those were 3% up in the period. What you can see on the top right then is what has happened with yields. So on the assets, we are getting a 16 basis point improvement in deals compared with the year ago. On the liabilities, we are paying 27 basis points more than were a year ago on the average. And hence, the overall margin is 7 basis points down. I think, quite similar to what some of our competitors have been experiencing. So we exited the year Q4 at 154. And clearly, as we go into this year, a huge amount of focus upon this specifically would, have certainly hoping this year that we can improve slightly on that Q4 exit rate. A number of reasons for being reasonably comfortable with that is the focus we have had recently on increasing the current accounts and savings accounts, reducing time deposits within the business, which in the second half was quite a strong progression. We have done quite a lot to derisk the book in terms of interest rate sensitivity, and we are focusing a lot on the new hubs, particularly in Hong Kong and Singapore. So CET1 ratio, 14.2% a year ago, 13.8% at the end of 2019. Remember that the buyback took about 40 basis points out of that number. Also, the $0.5 billion that we've announced today does not get reflected in these numbers. But when we come to the first quarter, the $0.5 billion will be about a 20 basis point reduction from the first quarter CET1 numbers. And also, let's bear in mind that with the Permata sales, still hopefully not too far away, that actually, that should have the potential to further look at returns. Risk-weighted assets then on the bottom left. As I mentioned earlier, those are moving up roughly in line with income. So 2%, up $6 billion. Three main moving parts: one, asset growth, business growth, good; second, credit migration, a small part of it; and thirdly, efficiencies that we have said that we will and continue to focus upon. So put all of those together, and the closing RWAs at $264 billion. So just pulling this together before I hand back to Bill. Left-hand side targets we talked about last year. I think on most of these fronts, we have done pretty well in 2019. Certainly, 1.3 percentage points. Again, RoTE is good, income fraction below guidance range, but only a fraction below. The expenses tightly controlled within the capital at the top of the range. As Bill said, the start of 2020 January and what we're seeing so far in February has actually been encouraging. Underlying momentum similar to what we had in the fourth quarter, albeit clearly well aware that the coronavirus impact will be more March and onwards. So just a word of caution on that. For that reason, we have said this year, growth rate in income likely to be slightly lower than the 5% to 7% medium-term guidance range. And secondly, on the RoTE. Given that certainly compared with a year ago, we have lower interest rates. We have a macro that is not looking as promising, and we have the coronavirus. As said, it is likely that the 10% will take longer. We absolutely believe in getting to 10%, but it is likely that it will take longer. So with that, I will hand back to Bill.
William Winters: Thanks, Andy. I'm just going to run through a little bit of a mark-to-market on the strategic objectives that we set out a year ago and the progress that we've made. First, on Page 20. Slide 20 is the quick review of our network business. It continues to be very, very strong. We've had good growth in client income for those clients. We've specifically targeted to grow our network income. So our next 100 clients and new clients, which right now, extending to hundreds of clients. Overall income is up 6%. The percentage is flat. The RoTE remains very strong. In fact, it's getting stronger for that network business. We see the overall Corporate & Institutional Banking business, at an 8% RoTE, is getting towards that cost of capital plus return that we continue to think is absolutely achievable. As we continue to both work the investments that we've been making in this area over the past couple of years, increasingly digitizing, increasingly focusing on new tools on our own and in partnership to deliver some differentiated supply chain solutions. And of course, with continued strength in the financial markets business, which has got its legs and is beginning to move quite nicely now. Of course, it will be volatile from period-to-period as is normal with the client [indiscernible] that business. But we think our underlying capacity to generate good, strong growth in financial markets, like the rest of our CIB business, is very strong.  Looking at the affluent client business. Again, the story is a very good one in terms of progress. A little bit more difficult environment, certainly in Hong Kong in the second half of last year. Hong Kong, no need to remind, our most important single market broadly, but also for the affluent client business. Despite that, we had good growth in clients, good growth in net new money in Private Banking and in the affluent proposition; a continued improvement in the mix and labor of that affluent client segment; and ongoing very strong returns from that segment in terms of return on tangible equity; and throwing in the private bank as well. So good returns in that business overall. So one that we will continue to invest in quite heavily. We've launched a series of differentiated offerings at different asset levels or different wealth levels. So we've introduced a Premium client segment into several of our key markets over the past year. Its clients have responded extremely well to that. So these are clients that were I would otherwise have been in our personal or mass market offering that are getting a differentiated level of service. They feel a bit more special in terms of the customer service that they're getting and they're responding very well. Likewise, we've got a segment at the top of the stack, I have called the Priority Private, which are clients that are underway to getting the full-service white glove treatment from a Private Bank, getting it from Standard Chartered, where obviously, we're combining that with that local operation. That really is differentiated vis-à-vis many of the other private banks that are competing for some of that money. So overall, we're feeling very strong about the affluent client segment. Looking at the 4 markets that we have really focused on for turnaround. The number of the [indiscernible] I'll call out is right in the lower left, which is at the aggregate pre-provision operating profit is up 15%, and it's up in each of the individual markets. And obviously, when we step to the next number up on the lower left, so the aggregate profit is only up 10%. The difference is single-name credit losses that we had in India and Indonesia. Question always, especially in this uncertain time is, It this the beginning of a trend? or Is this something that indicates that there's been any loosening in credit senders? The short answer is, no. And these are a very small number of cases that are genuinely idiosyncratic. And of course, the overall credit cost, as Andy mentioned, is still right around 27 basis points for the year. So a bit up on last year, but still lower than we would expect for sort of a through-the-cycle level of credit impairments. So we feel good about the progress in each market. Each market is quite different. India, the story is income costs and active management of capital. Korea, it's substantially about the management of capital, with ongoing cost constraints and cost focus. In the UAE, it's largely about the improvement in loan impairment. So there's been a real focus on managing the expense base there as well. And Indonesia, again, it's income, expenses and management of capital. So we remain relentlessly focused on this. We think we're on the right track. And this part of our strategic thrust should do its part to deliver our 10% RoTE-plus as soon as we can possibly get there. Quick focus on productivity. Andy mentioned the aggregate numbers, and I gave a couple of examples.  We look, we're looking at pulling many, many different levers on the productivity side. Clearly, digital sales is one thing that we're watching actively. We've had a steady increase in digital sales, a steady decrease and the cumbersomeness of our process. So turnaround time for onboarding clients, the decision-making time for financial crime compliance reviews are all steadily improving. And that's driving the improving income or risk-adjusted income per full-time equivalent. And as Andy mentioned, the cost income ratio is continuing to improve. We've got a series of key initiatives around understanding and delivering client journeys, which is in the process of transforming our bank.  This will drive productivity in the, certainly, the medium- to long-term. But we're not shying away from the actions that we need to take in the short term as well that are strategic where they need to be, tactical where they need to be, but in any case, driving this productivity figure. Quick touch into digital. Of course, every bank is investing substantially in digital. So are we. The bulk of our discretionary investments are going into various digital applications. It's paying off. Our mobile and digital adoption rates in the real business are approaching the, I would say, the benchmark in our key markets. Hong Kong, Singapore, Taiwan, India are at industry-standard levels. Some of our smaller markets are further behind in terms of digital adoption. But we will continue to push that.  And obviously, with the rollout of our digital banking platforms around the world, we see both enormous productivity gains, but also a fundamental improvement in the quality and efficiency of service. Likewise, in the CIB business, we've had a steady increase in straight-through digital processing in financial markets, but that applies to our cash payments to our custody business, security services, et cetera. And in Commercial Banking, we're looking at the number of clients. And in some of these cases, they're quite small, used to doing things in old-fashioned way, are increasingly adopting our latest digital tools. And this all comes through into some recognition externally. So when I travel to our markets in Singapore, et cetera, I do have accounts at a number of our markets. Frequently here from our own colleagues, who would sometimes acknowledge to me that they have bank accounts at other banks as well, that our mobile banking apps are really the best. And in Singapore, we have the best mobile banking applications. We have had for some time. We're recognized as having the best mobile banking applications for several years now. Global Finance gave us not only the Singapore Award, but the Global Award this year. Do the awards mean much? No. Our, my colleagues at Standard Chartered Bank purely objective? No. But I can tell you, they tend to be very, very, very critical, and, but it's a big test market. But the fact is we're delivering stuff to our clients that's differentiated. And through time, as we look at the improvement in our retail business in Singapore and Hong Kong and India, it's coming down to the nuts-and-bolts things like better quality, better service and higher efficiency, lower error rates. And you can expect to continue to grow some of that and see the progress that we're making. Page 25. Just a quick run through on some of the commitments we've made, the actions that we're taking apart from the narrowest measure of financial contribution. We understand our responsibilities as a bank. We understand that we're in the front line in the fight against financial crime. We're delighted to have been able to put the U.S. litigation actions behind us over the course of 2019. But we haven't let down our guard at all in terms of the focus on the role that we play in this area, and we will continue to focus on this. The investments continue to be material as well as much to improve the efficiency and the quality of what we're doing as to make sure that we're as productive as we can possibly be going forward. But we have other responsibilities as well. I think as a corporation, we, our stakeholders are very keen for us to focus on the contributions we can make to halting increase in global temperatures. This is also very important to our colleagues. And I'm really proud of the work that we've done at Standard Chartered, in terms of identifying the best ways to measure the impact of our business and our clients' business on the environment, taking concrete steps to address some very specific targets in terms of the things that we won't do. But even more importantly, the things that we will do. The $75 billion of financing that we've committed to support the achievement of the sustainable development goals. The $35 billion that we've committed to climate change-related investments, in particular. But of course, this is a drop-in-the-bucket. And at the flipside of all of those commitments that we're making are the things we won't do. This is that, this is also one of the great opportunities of our lifetime. There's going to be something like $2.5 trillion of financing that the market, that the world's going to require per year to achieve the climate change targets that we've identified. The bulk of the impacted markets are ours. The bulk of the transition expense or investment is going to be in our markets. And we're very good at this. So this is an area that we will focus on. We hope to have a meaningful income stream. We do already. We hope that, that can grow steadily, so we can both certainly do our bit for the world and do that in a way that's actually very good for our shareholders as well. I talked a little bit upfront about the investment in people. This is something that we'd like to come back to with more metrics and measures of the kind of progress that we're making. It's a tremendous commitment that we've made, and that's resonating very well with our colleagues. And the focus of Standard Chartered has always had on the contributing value to our community, remains very strong. We launched Futuremakers, which is a sort of a super set of activities to focus on our markets, in particular, helping people to learn, to live and to grow; particular focus on young women and, in a number of those markets, but certainly not limited to that. And so it zooms into that. The very long-term effort we've had on treating and dealing with preventable blindness through seeing is believing. So this is a large part of what makes Standard Chartered special. And it's, when we get these things right, I know Andy and I, and Jose and the rest of the Board and the management team find the countries here to hit financial targets when you've got a workforce that's motivated to deliver some of these objectives as well. A little bit of building on the comments that Andy has made, and I made at the beginning about the outlook for 2020. So we're at the Page 26, Slide 26. We all know that the evolution of interest rates, since we gave our refresh guidance a year ago, has been substantially down, with over 100 basis points of reduction in forward rates to that period out to 2021. We all know that the outlook for a global economic growth has reduced. As we sit here today, it is decreasing, sort of by the day, as the impact of the virus is fully digested. Of course, we'll see how that plays out. But as we sit here today, the global economic outlook is less positive than it was a year ago. And the Hong Kong outlook is substantially less positive than it was a year ago, with the combination of the global effect and of course, the disruption in the second half of last year through civil unrest. So onto Page 27. The box on the lower right. You will be curious to know what the impact on Standard Chartered dreams will be month-by-month and year-by-year from the coronavirus is the fact is, we don't know. We know that we had a good start to 2020. We know that we see that our operations are being disrupted in terms of our ability to connect directly with clients or for clients to connect directly to themselves. And we know that by the same token, they're getting back to work. So our China colleagues are increasingly back in the office. I think by next Monday, they'll be substantially back in the office, and probably in a week or 2, with the exception of [indiscernible] problems. They'll be largely up and running, along the way that they managed to keep our operation completely functional. We're opening branches. We cut branches open throughout. Our core operational centers in Tianjin and Shenzhen were never shut down. So it never did not miss 1 beat. Colleagues in Hong Kong, where about 70% of the branches are open. Of course, the footfall is dramatically reduced. But that will begin to normalize as people in Hong Kong stop working at home, start going into their offices. So we're optimistic that we can get back in our core markets that we can get back to something closer to normal in the next few months. But of course, we don't know how this is going to develop. And what we also don't know is how the virus spreading around the world will impact global economic activity and global growth. But we do expect that it will be harder for us to hit the 10% RoTE target in 2021. And as Andy said, and as I said, we are not backing away from that objective at all. We continue to think that's the right return on equity for this bank to be able to achieve with the RoTE that but for the features on or the events on the previous slide, interest rates, global economic activity environment, we wouldn't be talking about delaying our achievement of that target at all. But you see that's happened. And we are realistically saying every decision we take, continues to be focused on hitting that target. Every incremental capital allocation, every lever that we can pull is focused on maintaining that target. I'm not backing away from the target. We're just questioning the timing, right? Just to sum up really quickly before we go to Q&A. We continue to think and believe, based on the evidence of what we delivered in 2019, that we're operating in the right markets, that we've got the right strategy. We're making good progress on every single element of that strategy, that we've got the right people, we've got the right clients. The clients are recognizing the value that we're adding through their activity with us and then through the objective surveys that we can subscribe to. So we're going to continue to stay the course. We're continuing to invest substantially, and we are continuing to maintain the level of discipline that we've demonstrated over the past 3 or 4 years, both in terms of our approach to risk, but also our approach to expenses. To the extent that the environment remains more difficult, we've demonstrated that we're not reluctant to pull the various levers that we can to improve profitability, and that will continue to be the case. But at the same point, we recognize that many of these things that have buffeted us and the market are likely to be transitory. And we're building this bank for the medium to long term, and we'll continue to focus on those investments that can help us deliver that kind of value. So with that, I think we will head into Q&A, and Andy will join me, and we'll take your questions.
A - Andrew Halford: Hello? Yes. So the usual way. Please just say your name and the firm you're from. [indiscernible] 
Martin Leitgeb: Martin Leitgeb from Goldman Sachs. [indiscernible] 3 please. And the first one, specifically on the disruption caused by the virus outbreak. Would you be able to share a little bit how we're thinking about potential P&L impact in the first half this year, if the virus led to behave as expected that, if it might recede in Asia in the coming months since it would be more a temporary impact. How would we think about P&L impact in terms of both revenues and ECL? And then tied to that, in terms of your revenue guidance for 2020. It seems like your revenue challenges are a little bit more constructive compared to some of your international and global peers. And I was just wondering what is driving that? Is it embedded in that? Still some benefit from the legal entity restructuring optimization, which you announced, I think, last year? Or the specific medium [indiscernible] interest rate assumption underlying that? Or just the underlying business performing very well is giving you the comfort for still positive revenue growth at this stage? And finally, in terms of capital return. Your very clear commitment to stay well within that 13% to 14% range rather than [indiscernible] towards [indiscernible]. And if we just look at your profitability trend last year and also in terms of what your guidance implies, it would seem that you will continue to [indiscernible] capital in the first half. And how frequently are you going to assess the scope for potential buyback as opposed to where you are in terms of this capital target range?
William Winters: Let me just give a high-level answer on the corona impact. But we don't know. I mean, I appreciate you giving a little bit of color on what the expected scenario is. And I hope you're right that, that's the expected scenario. And we can be guided by a couple of things. We know that there was an impact on our growth in Hong Kong as a result of the civil unrest in the second half of last year. We managed still to turn out a good performance in Hong Kong. But obviously, the virus is not just Hong Kong. It's the whole world or potentially. The, and we know that we had a good couple of months of 2020, which was impacted by the virus.  Although clearly, the bulk of the impact is almost certainly to come in terms of global impact. So I can't put a number on it because it's, we can't. We can't estimate the impact specifically because the expected case is actually a very, very, very broad range of possible outcomes. And we're seeing that change every day. What we are saying is that it's particularly important for us to remain very strong to this.  So we're very happy that we're coming into this period of turmoil and uncertainty with a strong capital position, with a strong liquidity position, with good underlying earnings and good underlying earnings momentum. So we've got some buffers. And our intention is to whether this particular storm and then come out and resume growth at the ideally, a higher level based on the fact that we should be a little bit less disrupted than perhaps others were less prepared for this.
Andrew Halford: Can I just maybe pick up on the capital levels? So the 13% to 14% range, we're still very comfortable with. The frequency of review of that, the Board looks at it, obviously, from time-to-time when we have ended up in the higher end of the range as witnessed last year. We acted with the buyback last year. We've got towards the higher end now. We have, again, acted on that. So we'll be thoughtful. We'll look at trends going forward. Permata, I guess, has the potential to further. We'll see when we get to that at a point in time, whether there is further potential on that front. And it's something that we're pretty comfortable with where we are in the ranges now.
Martin Leitgeb: In terms of revenue outlook in terms of what makes you more positive in terms of the revenue outlook compared to some of the DSM? If there's still any benefit of the EU entity restructuring to come through so $200 million to $300 million funding benefit? Is it still that part of the reason why you might be more constructive? Was it just that when it comes to more broader growth?
Andrew Halford: I think it's difficult to comment relative to others' commentary. What we've said is the 5% to 7% this year is probably going to be tough to achieve. I think the underlying momentum of the business. If you recall some of the numbers for the fourth quarter, the financial markets growth was very strong. The wealth management growth was very strong. The benefits of the legal entity restructuring you referred to, those progressively build up. So that is something which we have got, which is maybe a little bit unique to us. But how long and how deep the coronavirus impact is? As Bill has just said, it's really difficult to tell.
Guy Stebbings: It's Guy Stebbings from Exane BNP Paribas. Two questions. The first was just on asset quality. And specifically, in the fourth quarter, CG 12 accounts grew, but it sounds like that was entirely driven by the sovereign upgrades. Over the area that's from, I think, 20% from 10% up into Q3. I appreciate the numbers are still pretty small, but can you give any color around what's going on there? And the second question was on RWAs, which fell, I think, about $5 billion in the fourth quarter. It looks like that might be an RWA efficiencies, driving [indiscernible]. Perhaps there was some seasonality as well. So if you could give us a bit of a breakdown as to what trade [indiscernible] in the fourth quarter and what might reverse in Q1?
Andrew Halford: Yes. So let me take credit quality. A difficult one, I think, to monitor strictly quarter-by-quarter. Over periods of time, it sort of ebbs and flows. And I think more hopeful the chart show was that over a period of time, in the aggregate, it's remained relatively constant. You're right. The CG 12 movement was more about the sovereign downgrades. The early alerts were a little bit higher. But remember, the early alerts, majority of those do not end up being a problem. Minority, too, but the majority do not. So they're just ones where people paying on time, but the smaller indicators that maybe we just need to be a little bit careful about them. So not concerned by that. Clearly, at this point in time with the coronavirus monitoring very carefully, particularly in Hong Kong and China, just where we are on sort of payments from customers and so on. And we'd expect a little bit of softness of that for a period of time. But I think that is in the overall scheme of things for the group. It's not a huge issue. RWAs. So this time last year, when we said sort of 2 things. The growth in the underlying RWA is probably trending sort of with income as we grow the business. But offsetting that, 2 things. One, a continuing focus upon efficiency opportunities. And secondly, when Permata completes, that will take. I think we've got $9.5 billion on the balance sheet at the moment, RWAs. And so the fact we've come in this year at 2% is very consistent with that. It's not the, it's obviously benefited from Permata, that hopefully will come this year. And we will continue to grow in the way at efficiencies over a period of time. And as you've seen in the numbers for last year, that has provided some relief from the gross increase.
Manus Costello: Manus Costello from Autonomous. Am I right in thinking that despite the more difficult macro environment, the threshold RoTE for your LTIP is increased for the period going forward? Do you think that's fair? Or does it change your enthusiasm for wanting to hang around to try to deliver it?
William Winters: Great question, Manus. I'm happy to report, and I can do this on behalf of Andy and me. We're checking. We're enthusiastic and we're completely focused on delivering this package, right? [indiscernible] is a really interesting question in the context of the aggregate levels of [indiscernible] relative to almost any other measures. So yes, of course, it's there. Yes, that's fine. And it's not going to change at all the way that we approach the business. So the fact is that, that 10% target, 10%-plus, it's the right target for our business. There's always going to be questions about timing. We know that there'll be periods when it easier and periods when it's harder. Right now we're saying it's going to be harder. You could imagine scenarios where it gets easier. And if if you believe me, the red dot plots and if you believe what, I mean, fewer people are now saying this is going to be a sharp V, in terms of the coronavirus recovery, although even a week ago now when we had the first draft of this deck, people were thinking that a view is entirely possible. Things will get better, and we can end up surprising on the upside. Right now, we're sitting here and we're indicating caution. And so how management then, of course, it's just not just me and Andy. It's our whole team. How we get rewarded is by creating a great company that we can all be here enjoying years from now.
Unidentified Company Representative : So we'll just take the question from the web.
Unidentified Company Representative : The question is from Ronit Ghose from Citigroup. STAN has a large and liquid balance sheet. So why the push in the second half of '19 to add corporate operating accounts that appear to have hurt your NIM? And I am more concerned about core liquidity than a year ago. Will this OPAC corporate accounts push continue? Or now slow down in the second, in 2020?
Andrew Halford: So let me pick that one up. Overall liquidity levels in the business, we're very comfortable with. We will continue to focus upon the balance between the more expenses and the less expensive sources of liquidity. We have pushed more on the operating accounts, those tend to be fairly sticky balances. The rates on those below those that will pay on time deposits. We have done some rebalancing within the second half of the year, which, as I said earlier, should see some benefits as we come into this year, with the high levels of the OPAC and the lower levels of time deposit. So it's all part of managing the overall progression on margins. [indiscernible].
Claire Kane: It's Claire Kane from from Credit Suisse. Two questions, please. Just one more clarity on the revenue outlook. You mentioned you hope to improve NIM from the exit rate in Q4. So do you think overall NII can be a contributor to revenue growth year-on-year in 2020? That's my first question. And then a follow-up on the CL sensitivities. I have read in detail, but you do have disclosure in the annual report around a moderate downside scenario, a global one, where you say there's an extra $400 million impairments there. And I think in your extreme downside is $2.4 billion extra impairment. But how should we think about that $400 million in the context of, say, coronavirus extending throughout the rest of 2020?
William Winters: Okay. So let me take the NIM. So we ended at last year at 154 in the fourth quarter, 162 to the year average. It's clearly an area that is quite difficult to forecast accurately. We're doing this across 60 markets. We've got coronavirus. We've got everything that's going on. What I'd hope is that we would see in 2020, us being somewhere above the Q4 level, but it would probably be optimistic to think we'd be actually at the 2019 overall level. So I'd hope that, therefore, it will be in that sort of range. Difficult to predict with precision. On the ECR on sensitivities. Look, you can run 1.1 million different scenarios for a bank, and we obviously publish a particular scenario with a particular set of sensitivities. What we have not done, and I know others have, is sort of put a number on the ECL impact of the coronavirus. We think at the moment, it is really difficult to do that with any degree of precision. We've had a fairly good January, February. March will be affected by the virus. When we get to reporting out on the first quarter, we will have a few more weeks of knowledge. And at that point in time, I think we will have a slightly better basis for putting some numbers on it. And obviously, we'll have to put numbers on it for our reporting. Just as of now, I just think it's a very difficult area to give you any position of.
Claire Kane: On the NIM, I appreciate then we may not get back to the average for full year '19. But do you think with the same growth, you can get the top line higher year-on-year?
William Winters: Well, we're certainly hoping that we can have a positive growth on income during the 2020. And as you saw the fee side of it, which is reasonably [indiscernible] actually with what happened in financial markets with wealth management, that grew comfortably last year. I think the net interest one, we'd hope that we can be sort of there or thereabouts on last year's numbers. But again, it's quite a difficult one to predict, particularly in the current environment.
Ian Gordon: Ian Gordon, Investec. First, can I just ask you to comment on your views on helicopter money? And firstly, in terms of what views you might express with monetary authorities? And secondly, your view on what the potential impact might be on your business? And then secondly, on tax. Andy, I think you guided us to circa 30% going forward. Would it be reasonable to assume some geographic mix benefit as well as the UK bank levy in 2021 and beyond?
William Winters: So the helicopter money. Andy, obviously, has gone from hypothesis to reality in Hong Kong. So we'll see what it does in terms of bringing the Hong Kong citizen now to start spending again. Obviously, the Hong Kong has been buffeted by 2 waves that have kept a lot of the shops. And although it hasn't kept them from shopping, there's been a substantial shift to online. But it's obviously an extension of a quantitative easing type approach to monetary policy,. It's definitely going to increase consumer spending. The question is whether it kickstarts in the economy and generate some growth that's sustainable. I mean, it's an interesting experiment. Thankfully, Hong Kong can afford it many, many times over. So we'll see if they can get a real kickstart. Timing is probably about right because people are, certainly from our colleagues, they're ready to get back out again. They're feeling safer about the environment. The health measures that the authorities have taken in Hong Kong have been very substantial. And it would appear effective. You'd say the same thing about China. Certainly, outside of Hubei Province, where obviously, the response was later than anybody would have hoped. But the response has been very, very, very aggressive. I'd include Singapore in that as well. Though Singapore came a little bit later just because of the geography. Are we encouraged that each of these markets can get back to normal in relatively short [indiscernible]? Yes, we are encouraged. A little bit of helicopter money will help lubricate things in Hong Kong.
Andrew Halford: Can I, I'll take the second part. So I thought Bill is going to take out the tax issue there. The, so 2 parts. The effective tax rate. We have been in the low 30s for a period of time. We are just a shade under 30 for 2019. And what we've said is sort of somewhere around 30, I think, over the next 2 to 3 years is probably where we should be heading, possibly a fraction above that in 2020 because there or thereabouts. The fact it's a bit lower is in part due to geographic mix, but some of the businesses are becoming more profitable. It depends on what the tax rates are in those countries. And when you put it into the mix, that's sort of a consequence of it. Separate that out from the bank levy, which is not in the effective tax rate, the fact that it is separate. As I think you're aware, the bank levy at the moment is charged on the global balance sheet, whereas in 2 years' time, we will have that based on the UK balance sheet. What is, therefore, a sort of 300-ish cost should be sort of 100-or-so cost. So an important contributor as we take the RoTE upwards going forward from every line on the P&L. And that hopefully, we'll be on.
Ed Firth: Ed Firth from KBW. I'm just trying to understand a little bit more your caution on revenue. Because you highlighted that year-to-date or first few weeks, I think you said that this year, you're running at 4%. That's pretty much in line with what you did last year. And you said that you're hoping, well, no, your body language is, that you are expecting the impact to be reasonably transitory, I think, is the word you used. And you're only 1% light on your target anyway. So is it just like a sort of general join the crowd, everybody's cautious that we should be cautious type, step back from those targets? Or is there something really tangible that you can highlight to us that gives you this caution and this expectation that actually we're going to see a big slowdown? So I guess that was one. Do you want me to ask the second question? Or do you want to wait to that one?
Andrew Halford: That's good.
Ed Firth: I guess, the second question was then, just on the margin. Could you just, in terms of your, the comments you just made on the answer to the previous question on the margin. What were your expectations? Are you factoring in things like interest rate cards in the U.S. and the high [indiscernible] following, et cetera, just at this point?
William Winters: The question on income is interest rates are lower. We've had a 20 basis point move in 10-year rates, which is going to just come through the curve. So that impacts us. Now our sensitivity is less as we've indicated in the material that we sent out. It's less than it was a year ago. But it's so we have, we are sensitive to low interest rates. Trade flows are down and trading activity is down substantially as we've seen. The propensity to invest in capital projects, is at least being delayed. I think this will all get caught up, but it may not get caught up until, we may pick up in the second half of the year or whenever this thing passes. Activity that we missed in the first half of the year, that's going to impact our growth in 2020. The consumer sentiment is down. So the propensity to spend is down. We're seeing that in terms of economic impact in certainly the affected markets. As I say, there has been a big shift from physical purchases to online purchases, which, of course, is part of a much longer, larger trend. So the empty shopping malls that you see, pictures of in Hong Kong, Singapore and China are not the whole story. But nevertheless, it's down. And I can probably go on with other things that happen when people get nervous in terms of activity. That for us, it's been a little bit offset so far by people focusing on risk management. So our financial markets business has done very well through this period, because people are more concerned about risk than they have been. There's plenty of [indiscernible] than that. And, yes, it's not to say that we would expect that financial markets activity to fall off as soon as people get comfortable that the plan is going to survive. But there's every possibility that we have some things that are bit out of sync. So maybe we're being too cautious. I really hope we're being too cautious, but I think there's good reasons to expect that there's some real headwinds this year.
Andrew Halford: On the NIM. As I said, there's a lot of moving parts. It's not an easy one to accurately forecast, as we all know. If you look at forward curves, there's much a little bit more downward pressure on interest rates, but actually, the majority of that may have happened during the last few months. The things that we're doing on the rebalancing of the liabilities or the repricing, the legal entity restructuring, we think those will be offsets. And our hope is that we can come out this year a bit better than we did in Q4 of last year. But time will tell. Tom?
Thomas Rayner: It's Tom Rayner from Numis. I was going to ask a similar question to add, although I was going to ask why you're not more cautious perhaps on revenue. But it looks very obvious why with the interest rate pressure, et cetera, that you're going do well to show any growth in net interest income this year. I think that would be a fairly good outcome. And that seems consistent with what you've said. And Bill is now just given a few points around why the noninterest income may also be more difficult certainly for the next year. One thing you didn't mention, and I may have missed this because I'm a little bit late, apologies, but at the start of the meeting, is the sustainability of some of the financial markets revenue? In particular, in Q4, it looked like a fairly large number in corporate and institutional sort of $243 million, which I wasn't sure what that was. I just wondered if you could talk a little bit about the sustainability of the financial markets, revenues going forward as well, please.
William Winters: I'll give you a bit of color, and Andy can comment as well. A number of things have changed in our financial market business. So for starters, we've shifted the orientation of the bank to a much more active credit flow-through business, underwriting and distributing rather than buying and holding. So our credit structuring distribution group has added materially to profits. That should continue to grow. Now that is one of those things that the deal activity will drop during periods of concern. Obviously, by market issuances, it's going to be down. Syndicated loans that will be down in the short term. The underlying applications are in there. The need for financing hasn't gone away. Those will come back as a question of timing. But there's been a structural increase and there will continue to be structural increases in our ability to make money, originating, distributing and trading credit. At the other end of the spectrum, I would say, we had good results in our rates trading and in our currency trading business. That's very dependent on underlying market volatility and concerns. We're at a relative high in the cycle by most measures in those 2 areas. But despite the underlying logical volatility of those businesses, we have been steadily we have been steadily improving our capabilities. We're now regularly regarded as always a top 10, sometimes a top 5 FX player in G3 currencies. And in our local markets, we're regularly number 1 or number 2 and have been for some time. And those markets are growing. Flows are erratic, but they're growing. And then some place in between, I would say, is the ongoing focus that we've had on providing more customized solutions to our customers. Standard Chartered just tended to be, call it a plain vanilla house in years gone by, and we still are predominantly. Now we're definitely not going back to the go-go days of 10 years ago. But Standard Chartered is becoming a much more creative and innovative place. And to the degree that we can solve our clients' problems in more creative ways, always focus on getting the right results for the client, that's a secular and structural area of growth as well. So is it sustainable? Yes. Will it be volatile? It hasn't been so volatile, but will it be prospective? Yes. You have to say yes because we know that the environment will change. But then the fact that this is a business line that's got its legs and can continue to grow is the fact that we would put out this as a fact.
Unidentified Analyst : It's Rahul [indiscernible] from JPMorgan. Can I have 2, please? Last time around, you had a slowdown. There was obviously quite a lot of cost pressures in the business that you got to invest. This time around, I think you're quite confident about hitting positive jaws. But I was interested in what are the areas you can potentially squeeze to hit that positive jaws guidance? And does that actually make sense, given the amount of investments you continuously need to make within the business? So the question really is where are you stepping away, from an investment perspective? And what are you prioritizing? And then, the second one is on virtual Bank in Hong Kong. Obviously, we've seen only one example of that. And it looks like quite a high cost deposit model. What are your thoughts about the likely shape of your offering? And are you going to change based on what you're seeing in terms of customer behavior?
William Winters: Yes. In terms of investment, the, of course, we have a bedrock of things, which Andy is regularly called out, which we're going to do in any case, either the required for regulation or mini accounting standards or whatever. That's, so the little flexibility there, maybe a bit of flexibility in timing. There's, it's thankfully now, a large block of our investment are things that are discretionary and intended to generate either fundamental improvements in our process or income for both. And we have a number of levers that we can pull there. One, we can delay the timing on things. If we look at the environment and say, it's just not as attractive for a particular area of investment because the economy is going to be slower because markets have receeded or because the client segment is under pressure or whatever, then obviously, we can target those investments. We're very reluctant to pull back on the investments that we're making because this is clearly how we get this growth engine fully up and running. The other lever that we have, and we have many levers that I would say, but another interesting lever is that we've become quite good at deciding whether we want our investments to be off our own bat or in partnerships. And to the extent that, of course, when you enter into a partnership, you do it because you think that the partner is going to bring some value. It's also a way to defray the cost, upfront or to spread your risk or put your [indiscernible]. To the extent that we have some really exciting opportunities that we don't want to cut back, but we don't feel that we can afford it, we can either push into more partnership models or we can shift to the economics of the partnership, so that we're putting less cash in and perhaps adding value elsewhere or just taking a lower resulting stake in the profit so. And then we've got plenty of levers to pull without deviating from the core strategic thrust. And that's, what are these things? Very focused on penetrating the mass market in markets where we have a presence, but where we're subscale. And the easiest way to do that is through partnerships with various new economy players, and we should be in a position relatively importantly. In fact, we've signed our first commercial contracts on our partnership in Indonesia. And we'll be in a position to announce that in the next few weeks or we guess. That will get us access to tens of millions of customers for a full range of banking services in a new technology platform that we built, that we're rolling out with 1 platform first, and we'll roll out through others. As you negotiate these transactions, there's, was a negotiation. Who's picking up the development cost? Who's picking up the marketing spend? And the income that comes off the back of the initiative? We can move those things around, depending on what our appetite is at a point in time. But we've got, you asked about the Hong Kong Virtual Bank. I mean, the 1 guy that's in, we call it sort of, if that's alpha testing right now, has offered us a 6% interest rate or 6.5% or something like that for a very short period of time to a very small number of clients. So obviously, they accomplish what they wanted to accomplish, which is to get a headline. And that's great. What we intend to deliver, and we should be in a position to deliver that relatively quickly, is a differentiated customer proposition. That's our, we're not going in to compete on price. Of course, our price will be competitive. I mean, that's Hong Kong consumers are rate-sensitive as anybody. But what we're really competing on is a differentiated proposition. And what we're building, we're quite excited about.
Andrew Halford: We'll get one question online, and then we'll do Fahed, and then back maybe [indiscernible].
Aman Rakkar: The next question is from Aman Rakkar from Barclays. Firstly, regarding your 13% to 14% target CET1 ratio. Why operate so high above your MDA? Is there scope to bring this down? Or is the trust capital in the footprint elevated stress drawdowns, et cetera? Secondly, shall we expect a step-up in 2022 RWAs? As part of that, do you still expect 5% to 10% RWA inflation from Basel IV? Peers indicates a watering down in rules.
William Winters: Do you want to comment on our token buyback?
Andrew Halford: Only $0.5 billion. Let me take, let me [indiscernible]. So the CET1, 13% to 14%. Obviously, there's a number of factors that educate that. One is rates are minimum. One is peak-to-trough on stress test. One is capital requirements within the system operating across so many countries. And you put all of that together, 13% to 14% for us seems a sensible space to be. And we are comfortable with that. We're operating within it. And so we're [indiscernible] happy, and we're happy with it. So that is a range we're comfortable with. And on RWAs, it's really a repeat of what we said last year that we do some, we can keep the growth in the RWAs below the rate of inflation or rate of increase in income. Let's put it that way. Permata, when that goes, will take quite a big chunk out of the group's RWAs. And on Basel III or IV or whatever it is, somewhere in the 5% to 10% range is the best estimate. It is still an estimate because there is still quite a lot of detail that needs to be clarified. And the UK obviously needs to perform its own view, irrespective of Europe, on the exact application of some of it and like most banks eagerly await more definition and more clarity.
Unidentified Company Representative: So last question, I think.
Unidentified Company Representative : So last question, I think.
Fahed Kunwar: It's Fahed from Redburn. So a couple of questions. Just on the margin, just point of clarity. How much of the $200 million to $300 million came through in Q4 is audit? Was all of it coming through in 2020? Have we had any benefit from that at all? Is it the funding synergies? And on RWAs, to follow-on from the earlier question. You had $3.5 billion of credit migration in FY '19. I'm assuming all of that was Hong Kong-related, and please correct me if I'm wrong. Have you assumed any credit migration? Or how should we think about credit migration considering what's happening on the ground in 2020? And your RWA is less than income guidance. Is that ex-Permata or is that with Permata? So i.e. if we take Permata away and assuming credit migration, is it realistic that RWAs will be growing less than income?
William Winters: Was that a 2-part question?
Fahed Kunwar: 3 or 4.
William Winters: Okay. So in terms of the benefit to our NIM or the legal entity restructuring, which I think was your first question. We said that we'll progressively build over a 2- to 3-year period. So as we retire existing exposures, replace them with better funding sources or location of sources, that will come through. So there is a little bit of impact of that in 2019, but there will be more in this year, and then more in the year after. The $3.5 billion of credit, there is migration. There is some clearly, this is in Hong Kong, absolutely for sure. And then the rest is sort of spread around the place. The keeping the overall RWA growth below the rate of income was a sort of aggregate comment, which did incorporate the assumptions that Permata would be going at some point during that time period.
Fahed Kunwar: And the credit migration in general. I mean, can you expect more cost positive credit line for the next credit migration over the course of the year?
Andrew Halford: Well, it's probably tied quite a lot back into the coronavirus sort of issue. We'll see just how that pans out, not just in terms of direct but indirect consequences. We are well aware and we are keeping a close eye on that at the moment. There are 1 or 2 sort of smaller stresses, but nothing significant in the group context. But clearly, as we all know, it will depend upon how long it's last for and how many countries it impacts.
Unidentified Company Representative : Okay. Thank you very much, as it starts to snow outside. The cautionary tail designed to win. Thank you very much for coming, and thank you, Andy and Bill. Thanks.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may now disconnect.